Operator: Good morning, ladies and gentlemen. Thank you for standing by for Dada's Fourth Quarter and Fiscal Year 2023 Earnings Conference Call. At this time all participants are in a listen only mode. After the management's prepared remarks, there will be a question-and-answer session. As a reminder, today's conference call is being recorded. I would now like to turn the meeting over to your host for today's call, Ms. Caroline Dong, Head of Investor Relations for Dada. Please proceed.
Caroline Dong: Thank you, operator. Hello, everyone, and thank you for joining our fourth quarter and fiscal year 2023 earnings conference call. On the call today from Dada, we have Mr. Bing Fu, Interim President; and Mr. Henry Jun Mao, CFO. Mr. Fu will talk about our operations and company highlights, then Mr. Mao will discuss the financials. They will both be available to answer your questions during the Q&A session. Please note that Mr. Fu will give his remarks and answer questions in Chinese and the consecutive translation will be provided. In case of any discrepancy between the original remarks and the translated version, statements in the original remarks should prevail. Before we begin, I'd like to remind you that this conference call contains forward-looking statements. Please refer to our latest safe harbor statement in the earnings press release on our IR website which applies to this call. Also during this call, we will discuss certain non-GAAP financial measures. Please refer to our earnings press release which contains a reconciliation of non-GAAP measures to the comparable GAAP measures. Finally, please note that unless otherwise stated, all figures mentioned during this conference call are in RMB. It is now my pleasure to introduce our Interim President, Mr. Fu. Mr. Fu, please go ahead.
Bing Fu: [Foreign Language]
Unidentified Company Representative: Thank you, Caroline, and thank you all for joining us.
Bing Fu: [Foreign Language]
Unidentified Company Representative: Before we get into the highlights from the quarter, I would like to address the recent independent review results released by the company on March 5, 2024. Back in January, we disclosed that during a routine internal audit, the company identified potential overstatement in revenues and costs related to online advertising and marketing services for the first 3 quarters of 2023. The company took this matter seriously, and the Audit Committee of the Board immediately initiated an independent review with the assistance of a third-party independent professional advisers consisting of a leading international law firm and forensic accounting experts from an international consulting firm that is not the company's auditor. Upon the substantial completion of the review, we announced the findings and remedial measures on March 5, including correction of certain information in the relevant past financial statements as necessary and appropriate. As you may have noticed, the corrected line items of the financial statements for the first 3 quarters of 2023 are presented in our earnings release. And it's important to note that neither net profit or loss nor cash balance was impacted by the correction in the corresponding period.
Bing Fu: [Foreign Language]
Unidentified Company Representative: As part of our dedication to reinforcing corporate governance, we've enhanced the company's internal policies, systems and controls in recordkeeping and implemented rigorous internal audits with enhanced monitoring and oversight mechanisms going forward to strengthen transparency, accountability and integrity at all levels of the company.
Bing Fu : [Foreign Language]
Unidentified Company Representative: Now let's go through our financial and business performance. During the fourth quarter of 2023, still faced with challenges, Dada Group made steady progress in improving both top line and operating efficiency. Our total net revenues increased by 3% and adjusted net margin improved by 1 percentage point year-over-year.
Bing Fu : [Foreign Language]
Unidentified Company Representative: Before I get into the operational highlights from our 2 platforms, a brief update on our cooperation with JD.com. With respect to JDDJ, we continue to reach more JD users and optimize their user experience. In the fourth quarter, number of monthly average Xiaoshigou transacting users increased by 50% year-on-year. To break down by entry point, the stand-alone Xiaoshigou tab saw its DAU more than double year-on-year driven by increased click-through rate on the daily homepage. Meanwhile, order conversion rate within the Xiaoshigou tab increased by more than 1 percentage point year-on-year. As a result, GMV generated by online traffic on the Xiaoshigou tab more than tripled year-on-year. For search result exposure, another major entry point on JD, we're glad to see that GMV generated by users who actively filter out non-Xiaoshigou products among search results increase by 30% year-on-year in the fourth quarter, demonstrating growing on-demand mind share among JD users.
Bing Fu: [Foreign Language]
Unidentified Company Representative: Meanwhile, Dada Now's cooperation with JD.com further strengthened. In the fourth quarter, Dada Now continued to provide dedicated support to JD's on-demand delivery needs, with orders fulfilled nearly doubling year-on-year.
Bing Fu: [Foreign Language]
Unidentified Company Representative: Now let's go through the detailed fourth quarter operational highlights for JDDJ, the leading local on-demand retail platform in China. In the fourth quarter, we continued to deepen cooperation with large chains and empower more SMEs. As of the end of 2023, JDDJ had onboarded over 500,000 retail stores, more than doubling from the end of 2022.
Bing Fu: [Foreign Language]
Unidentified Company Representative: In the supermarket category, we collaborated closely with over 90 out of the top 100 supermarket chains as well as regional champions to provide our users with industry-leading high-quality supplies.
Bing Fu: [Foreign Language]
Unidentified Company Representative: At the same time, we deepened the cooperation with major convenience store chains, such as JD Convenience Store, the off-line store formats empowered by JD.com; Meiyijia, the largest convenience store operator in China in terms of store count; and Lawson, the fifth largest by the same metric. Total GMV generated by convenience stores in the fourth quarter increased by more than 4x year-on-year.
Bing Fu : [Foreign Language]
Unidentified Company Representative: Moving on to consumer electronics. In the smartphone category, the GMV of Oppo and Samsung mobile phones more than doubled year-on-year in Q4. In the computer and accessories category, digital products maintained a rapid GMV growth of more than 50% year-on-year, and we also made significant progress in essential accessories such as chargers.
Bing Fu : [Foreign Language]
Unidentified Company Representative: Turning to the home appliance and home furnishing category. During the quarter, we established new partnerships with major appliance brands such as Panasonic and Robam, one of China's top kitchen appliance brands. Meanwhile, we worked more closely with leading smart locks manufacturers, such as Kaadas. Collectively, we newly onboarded over 10,000 home appliance and home furnishing stores onto our platform. As a result, in the fourth quarter, GMV of home appliance merchants increased by more than 50% year-on-year, while GMV of home furnishing merchants nearly doubled year-on-year.
Bing Fu: [Foreign Language]
Unidentified Company Representative: In the liquor category, GMV in the fourth quarter increased by more than 3x year-on-year driven by regional store expansion.
Bing Fu: [Foreign Language]
Unidentified Company Representative: In the apparel category, GMV surged more than threefold driven by our continued expansion in the sports and outdoor segment and differentiation of product offerings.
Bing Fu: [Foreign Language]
Unidentified Company Representative: Technological empowerment is an important focus in our partnership with retailers. Haibo, our omnichannel audio operating system, has been deployed in more than 13,000 stores as of year-end 2023, an increase of over 40% from the end of 2022. In 2023, Haibo's customer retention rate remained at around 90% despite a significantly enlarged customer base. This underscores the recognition among merchants of Haibo's ability to enhance their operational efficiency. We continue to add more features to Haibo and improve its existing functionality, help merchants address pain points and improve operations. For example, in the fourth quarter, Haibo added a new feature to intelligently identify fraudulent orders and provide real-time monitoring and thus enhancing merchants' risk control capabilities and operational security.
Bing Fu : [Foreign Language]
Caroline Dong: Let's move on to Dada Now, the leading local on-demand delivery platform in China. As of the end of 2023, our intra-city delivery and last-mile businesses covered over 2,500 and over 2,600 cities and counties, respectively, penetrating into more low-tier cities. In 2023, we had more than 1.2 million annual active riders on the Dada Now platform, an increase of more than 20% year-on-year, further expanding flexible employment opportunities for a wide range of workers.
Bing Fu: [Foreign Language]
Unidentified Company Representative: For our KA chain merchant business, in the fourth quarter, KA business delivered high-quality growth with orders fulfilled increasing by more than 20% year-on-year, average gross profit per order continuously improving year-on-year and fulfillment rate at above 95%. The quality and cost effectiveness of our fulfillment services remain well recognized by merchants. Notably, all of the top 50 revenue contributors among our KA clients in 2022 continued to rely on our services in 2023.
Bing Fu: [Foreign Language]
Unidentified Company Representative: In the beverage KA category, order fulfilled increased by more than 60% year-on-year in the fourth quarter. In October, we received the Best Strategic Partner award from Luckin Coffee, the largest coffee chain in China by store count. In addition, we also received a recognition from Thai Tea, a popular new style tea chain in China, having fulfilled a rapidly growing volume of orders with high-quality service since the establishment of our strategic partnership in early 2023. In the restaurant KA category, orders fulfilled for newly partnered brands such as Tastien, Chinese style burger chain, also ramped up quickly.
Bing Fu: [Foreign Language]
Unidentified Company Representative: Moving on to our SME and C2C business. The number of SME and C2C orders fulfilled in the fourth quarter increased by more than 20% year-on-year from the high base in the prior year period driven by pricing optimization, expansion into new verticals and increased penetration into lower-tier cities.
Bing Fu: [Foreign Language]
Unidentified Company Representative: This concludes the overview of our business performance. To wrap up, it was a robust close to the year. And heading into 2024, we will continue to place healthy growth at the heart of our overall strategy for creating shareholder value. I will now pass the call over to Henry to go through our financials for the fourth quarter and fiscal year 2023.
Henry Jun Mao: Thank you, Mr. Fu. I'm pleased to be on my first earnings call as CFO of Dada Group to discuss our financial performance with our valued analysts and investors. Just a few housekeeping items before we go over the numbers. We believe year-over-year comparisons are the most useful way to evaluate our performance. Therefore, all percentages I'm going to give will be on a year-over-year basis and all figures are in RMB, unless otherwise noted. In addition, figures for full year 2023 have reflected the traction of past financial statements, details of which are laid out in annex to our earnings release. Total net revenues in the fourth quarter increased by 3% to CNY 2.75 billion. Net revenues from JDDJ reached CNY 1.55 billion, mainly due to the decrease in online advertising and marketing services revenue. Net revenues from Dada Now increased by 36% to CNY 1.2 billion, mainly driven by the increases in order volume of intra-city delivery services to chain merchants. Moving over to cost and expense side. Operations and support costs were CNY 1.9 billion. The increase was primarily due to an increase in rider cost as a result of increasing order volume for intra-city delivery services provided to various chain merchants. Selling and marketing expenses decreased to CNY 1 billion, primarily due to a decrease in promotional activities conducted on JDDJ platform and a decrease in advertising and marketing expenses. General and administrative expenses decreased to CNY 89 million as a result of decreased amortization of intangibles related with the acquisition of JDDJ in 2016 and reduced share-based compensation expenses. Research and development expenses decreased to CNY 91 million, mainly due to lower R&D personnel costs. Impairment loss of goodwill was CNY 958 million for the fourth quarter of 2023. Non-GAAP net loss was CNY 159 million, an improvement compared with a loss of CNY 179 million in the fourth quarter of 2022. Non-GAAP net loss margin was 5.8%, improving by 1 percentage point year-over-year. As of December 31, 2023, we had CNY 4 billion in cash, cash equivalents, restricted cash and short-term investments. I will now quickly run through a few key full year 2023 financial results. Further details can be found in our earnings release. Total revenues in 2023 increased by 12% to CNY 10.5 billion, with revenue from JDDJ growing by 5% to CNY 6.5 billion and the revenue from Dada Now growing by 27% to CNY 4 billion. Operations and support costs were CNY 6.5 billion compared with CNY 5.7 billion in 2022. Selling and marketing expenses were CNY 4.5 billion compared with CNY 4.7 billion last year. General and administrative expenses were CNY 253 million compared with CNY 409 million in 2022. Research and development expenses were CNY 416 million compared with CNY 631 million in 2022. Our non-GAAP net loss was CNY 342 million compared with CNY 1.3 billion in '22. Non-GAAP net loss margin was 3.3%, improving by 11 percentage points year-over-year. In addition, we have announced that the Board of Directors have authorized a share repurchase program of up to USD 40 million of American depository shares funded by our existing cash balance for a 2-year period through March 2026. Our decision to repurchase shares is part of our broader strategy to create long-term value for our shareholders. We will stay committed to prioritizing shareholder interest and enhancing shareholder returns. This concludes our prepared remarks. Operator, we are now ready to begin the Q&A session. Thank you.
Operator: [Operator Instructions] Your first last question comes from Lei Zhang with Bank of America.
Lei Zhang: [Foreign Language] Two questions here. First, can you share more color with us in terms of the macro and consumption downgrades that impact to our business. Secondly, wondering your overall 2024 outlook, including the subsidy plan of JDDJ business?
Bing Fu : [Foreign Language]
Unidentified Company Representative: Thank you for your question. I will answer the first one.
Bing Fu: [Foreign Language]
Unidentified Company Representative: As the economy and society normalized, the consumption market gradually recovered. Nonetheless, there was still room for consumers' spending power and confidence to improve. Heading into 2024, with the economy poised to further rebound and improve as well as the introduction of a series of macro stimulus and pro-consumption policies, the recovery and expansion of consumption will be further strengthened.
Bing Fu : [Foreign Language]
Unidentified Company Representative: Last year, service consumption such as catering, tourism and entertainment boomed, thanks to the return of off-line consumption scenarios as well as the unleashing of pent-up demand, which took off some steam from the recovery of physical goods consumption. Consumption data for the first 2 months of the year indicate continued strength in service consumption, such as catering and tourism, and a stable recovery in physical goods consumption. Looking ahead, we expect a more balanced wallet share of services versus physical goods this year.
Bing Fu : [Foreign Language]
Unidentified Company Representative: The on-demand retail sector is still in the early days of development. Given the edge of on-demand retail in both convenience and product selection, we remain confident that its penetration among retail sales can further trend up in the long run.
Henry Jun Mao: Thank you, Lei, and I will take your second question. So regarding the overall strategy, I think with respect to JDDJ, I think it definitely will continue to enrich its supply to meet the rising consumer demand for the online demand shopping, enhancing our user experience and mind share. Meanwhile, I think we will focus on the health of JDDJ’s business and improve the operating efficiency. In terms of the promotion activities and consumer incentives, I think we will continuously invest in a targeted manner to drive the growth while ensuring the health of the business by evaluating the ROI across different channels, user demographics and categories to optimize our subsidy efficiency. And also with respect to Dada Now, I think we all know that Dada Now has its own nationwide rider network. So Dada Now will continuously focus on its KA business with sustained efforts to enhance its services and technologies. Going forward, I think Dada Now will work more closely with existing customers while proactively acquiring new clients to ride on the boom of on-demand delivery, to seek business growth along with efficiency gains. I hope that answers your question.
Operator: Your next question comes from Thomas Chong with Jefferies.
Thomas Chong : [Foreign Language] I have two questions. First, for Dada Now, how do you see the KA order and the revenue momentum this year? And my second question is about JDDJ. Could you please provide any color about JDDJ's outlook in 2024?
Bing Fu : [Foreign Language]
Unidentified Company Representative: Thank you. I'll take the first question.
Bing Fu : [Foreign Language]
Unidentified Company Representative: In the fourth quarter of 2023, our KA business delivered high-quality growth, with the number of orders fulfilled increasing by more than 20% year-on-year as well as rapid revenue growth year-on-year. The healthy momentum primarily resulted from robust growth of our beverage chain business as well as our deepened cooperation with them. And we're pleased to see that these trends remain ongoing, and we expect that to continue into 2024.
Bing Fu : [Foreign Language]
Unidentified Company Representative: We think these trends are likely to sustain, thanks to Dada Now's nationwide rider network's stable and efficient fulfillment, ability to cater to top brands' need for customized services, as well as our competitive edge in cost efficiency. We're confident in attracting more merchant partners in all verticals and deepening partnerships with our existing customers. In the long run, we expect to further gain market share in the third-party on-demand delivery industry and maintain above-industry growth.
Henry Jun Mao: I will take the second question. As I mentioned earlier, I think regarding JDDJ, so in 2024, we will be laser focused on the high-quality growth of the business and tapping to the market opportunities of on-demand retail together with JD.com to further improve the shopping experience for the customers and to unleash more synergies with JD.com. And in the long run, we are very confident in delivering sustainable, healthy growth given our commitment to the implementation of our on-demand retail strategy, along with our efforts to enrich the product offerings and to enhance the user experience.
Operator: Your next question comes from Wei Xiong with UBS.
Wei Xiong: [Foreign Language] Could management share your strategic focus on JDDJ development? Are we more focusing on user growth and frequency improvement? Or are we continuing to do more cost efficiency improvement and improving unit economics in 2024? Could you give us more color around balancing the top line growth and profitability improvement?
Henry Jun Mao: Thank you for your question. I think, yes, we have discussed this a lot. I think on one hand, we’ve always been focused on high-quality user growth and high-quality improvement in repeat purchase rate and shopping frequency. With users at the heart of our strategy, we will continuously optimize our merchandise offerings, interface design and business operations. Also, we will continue to unleash more synergies with JD.com to efficiently serve consumers’ diversified on-demand shopping needs. I think in doing so, we aim to improve the overall user experience and to enhance user mind share. I think for this year, JDDJ will focus on the health of its business growth and adapt a more ROI-driven approach to achieve high-quality growth and operating efficiency improvement. Our overall goal is to achieve high-quality, healthy and sustainable business growth, along with the steady improvement in profitability. I mean, in the long run, we are very confident in delivering the sustainable high-quality growth.
Operator: There are no further questions at this time. I'll now hand back to Ms. Caroline Dong for closing remarks.
Caroline Dong: Thank you, operator. In closing, on behalf of Dada's management team, we'd like to thank you for your participation in today's call. If you require any further information, please feel free to reach out to us directly. Thank you for joining us today. This concludes the call.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.